Operator: Good day, and welcome to The Brink's Company's Second Quarter 2025 Earnings Conference Call. This call and the Q&A session will contain forward-looking statements. Actual results could differ materially from projected or estimated results. Information regarding factors that could cause such differences are available in today's press release and presentation and the company's most recent SEC filings. The information presented and discussed on this call is representative of today's only. Brink's assumes no obligations to update any forward-looking statements. This call is copyrighted and may not be used without written permission from Brink's. I will now turn it over to your host, Jesse Jenkins, Vice President of Investor Relations. Mr. Jenkins, you may begin.
Jesse Jenkins: Thanks, and good morning. Here with me today are CEO, Mark Eubanks and CFO, Kurt McMaken. This morning, Brink's reported second quarter 2025 results on a GAAP, non-GAAP and constant currency basis. Most of our comments today will be focused on our non-GAAP results. These non-GAAP financial measures are intended to provide investors with a supplemental comparison of our operating results and trends for the periods presented. Our management believes these measures are also useful to investors as they allow investors to evaluate performance using the same metrics as management. Reconciliations of non-GAAP results to their most comparable GAAP results are provided in the press release, the appendix of the presentation and the 8-K filing, all of which can be found on our website. I will now turn the call over to Brink's CEO, Mark Eubanks.
Richard Mark Eubanks: Thanks, Jesse. Good morning, and thanks for joining us. Starting with the second quarter performance highlights on Slide 3, Brink's delivered strong organic revenue growth in all segments and lines of business. The 5% total company organic growth included 16% growth in ATM Managed Services and Digital Retail Solutions, or AMS/DRS, as well as 5% growth in North America. This is the fastest organic growth rate for North America segment in the last 9 quarters. Total reported revenue growth of 4% exceeded our guidance for the period. Record Q2 EBITDA and operating profits were driven by strong productivity, revenue mix benefits and good pricing discipline. Second quarter EBITDA margins were 17.8% and record second quarter operating margins were 12.6%, up 20 basis points year-over-year. The benefits of growth in AMS/DRS were evident in both North America and Europe, where we posted record second quarter EBITDA margins. We continue to see margin improvement opportunities in these segments as we move through the balance of the year. Earnings per share of $1.79 reflects the benefits of our ongoing share repurchase program, with total diluted share count down 6%. Cash generation also continues to improve. In Q2, we delivered $102 million of free cash flow, a year-to-date increase of $36 million. We continue to shorten our cash cycle and deliver capital efficiency across our entire asset base. Looking at the second quarter in total, we overdelivered against our commitments. Organic growth remains robust with acceleration in our key business lines of AMS and DRS expected in the second half of the year. Profitability continues to improve as we drive meaningful operational consistency and shift our revenue to higher margin lines of business. The strong first half performance has increased our confidence and we're now expecting an increase in revenue and EBITDA for the full year. Kurt will have more color on our third quarter guidance and our full year framework at the end of the presentation. Turning to Slide 4. You can see how our year-to-date performance supports our value creation strategy. First, we're focused on delivering organic revenue growth, primarily from our higher-margin subscription-based services of AMS and DRS. Through the first half of the year, we remain on track for our full year framework, delivering 5% organic growth and 18% organic growth in AMS/ DRS. This revenue growth and execution of productivity enhancements have driven operating margin expansion of 30 basis points year-to-date. As we've previously discussed, and as you can see from our Q3 guidance, we expect margin expansion to accelerate in the second half of the year, and we remain on track to deliver our framework of 30 to 50 basis points of EBITDA margin expansion in 2025. We are delivering improvements in free cash flow as well. Trailing 12-month free cash flow has increased by $140 million and conversion has improved to 48% of adjusted EBITDA. We are driving structural changes to the business that support this improving free cash flow generation. Our cash cycle continues to shorten with DSO improvement of 6 days. We're also improving our capital efficiency as we shift to less capital-intensive AMS/DRS offerings, reducing several hundred vehicles from our fleet year-to-date. And finally, we're focused on maximizing value for our shareholders with disciplined capital allocation. This year, capital has primarily been allocated to our share repurchase program, where we've utilized $130 million year-to-date to repurchase approximately 1.5 million shares. With remaining capacity under our share repurchase program through the end of the year of $166 million, we remain on track to allocate at least 50% of our free cash flow towards shareholder returns in 2025. The meaningful progress we've made against these value creation goals in the first half of the year provides confidence and support to our increased expectations for the full year. On Slide 5, I'll provide a strategy update on our ATM Managed Services progress. Across the top of the slide, you can see the ATM ownership value chain from software on the machines all the way through cash logistics and money processing. Our business was historically focused on Cash-in-Transit and money processing but over the last few years, we've added capabilities, both organically and through acquisition, which have expanded our addressable market and moved us further up the value chain. This expanded market has allowed us to consistently deliver mid- to high teens or better organic growth since we started reporting AMS. In the second quarter, we saw record transactions and cash dispensed in several of our large geographies, including North America. We recently finished onboarding several large new AMS customers, including Sainsbury's Bank in the U.K. and a few large convenience store chains in North America. The combination of record transactions and larger installed base support our increased expectations for AMS and DRS in the second half of the year. During the quarter, we also closed a strategic investment in KAL that advances our existing AMS capabilities. KAL is a leading global hardware independent ATM software provider and a globally recognized solutions provider for financial institutions and retailers. With many of our ATMs already using KAL software, we believe this partnership allows us to provide improved solutions to the managed services marketplace. Moving to Slide 6 on DRS. First, a quick reminder on the value proposition of digital retail solutions for both our customers and for Brink's. For our customers, DRS helps move cash transactions into the digital world. Once cash is accepted at retailers from customers and deposited into a DRS device, there's now a digital record of the transaction and the customer's bank account is credited. To the retailer, this process looks and feels similar to credit and debit transactions, often at prices that are less than their typical 2% to 4% of credit card fees. Benefits of this process for customers include faster access to working capital and improvement in store productivity without the need to reconcile the cash received and then walk deposits to the bank. We've seen our customers reduce internal theft and when interfaced with a point-of-sale operating system, allow customers to gain the ability to digitally track customer's individual cash transactions. The value proposition for Brink's includes a transition to flexible schedules only dispatching service when needed or convenient. This allows us to provide a superior customer offering, while improving labor and CapEx efficiency. Because this service includes flexible scheduling, we have extended our potential customer base to include enterprise customers that were not efficiently served by traditional services as well as small and midsized businesses that were previously priced out of the cash management solution. By penetrating this large unvended market and converting existing CIT customers to DRS, we've been able to scale this business with double-digit growth rates over the last couple of years. Looking at a few highlights this quarter on DRS, we had record global device installations as we continue to build momentum in all markets. Encouraged by the traction that we've seen in the business, we continue to scale and invest in dedicated commercial capabilities across all markets to further penetrate this large untapped total addressable market. We believe these new investments will drive continued growth in both margin accretive conversions of existing customers as well as the unvended retail locations. On Slide 7, you can see the market expansion potential into AMS and DRS. Traditionally, Brink's has been the leader in the $28 billion cash logistics end market. Using industry data, we estimate that the current vended AMS market is roughly $8 billion. If you add the addressable market for unvended retailers with more than $5,000 in monthly cash transactions and if all banks decide to outsource their ATM networks, our total addressable market would increase by 2x to 3x our existing traditional market. This market potential is something we're already seeing in our numbers, with new customers like Sainsbury's Bank in AMS and a large part of our DRS growth coming from this unvended white space. This market expansion, coupled with the success we've already delivered, gives us confidence in our ability to achieve our mid- to high-teens organic growth framework for AMS/DRS over the midterm. Turning to Slide 8. [ I'll try ] the last few slides to our Q2 results before turning to Kurt to provide some additional financial details on the quarter. We split our business into 2 main customer offerings, cash and valuables management or CVM; and AMS/DRS. Our CVM business includes the traditional parts of our business, like Cash-in-Transit, money processing and our international shipping business, we call global services. Organic growth in CVM was stable sequentially this quarter, with growth of 1% year-over-year. As we previously explained, headline growth in CVM is impacted by the conversion of traditional ATM or CIT customers to AMS/DRS, which we estimate cost us a couple of points of growth in the quarter. Year-to-date, our global services business has supported CVM growth with high precious metals demand, partially related to global trade policy environment. AMS/DRS had another strong quarter with organic growth of 16%, in line with our expectations for the quarter. As we previously discussed, growth this quarter was impacted by a onetime impact of higher equipment sales in the quarter last year. This included record growth in North America as we onboarded several large AMS customers and installed a record number of DRS devices in the quarter. As I've mentioned in the past few slides, we continue to build considerable momentum in AMS and DRS and expect our growth to accelerate in the second half of the year. Pipelines remain robust in both areas and we continue to close new customer sales. With expectations increasing, we now expect to be at the top end of our organic growth guidance for AMS/DRS for the full year. It was a great quarter of progress on our strategic initiatives. Growth in AMS/DRS was strong, and our outlook for the second half of the year has improved. Operating margins expanded in Q2 and are expected to accelerate into the second half of the year. Our cash generation was also strong, and we continue to improve CapEx efficiency and shorten our cash cycle. In the second quarter, we remained aggressive with our repurchase program, reducing our share count by 4% year-to-date. I'm confident we're executing the right strategy to drive shareholder value and I'm encouraged by the opportunities that are in front of us. And with that, I'll turn it over to Kurt to discuss the financials, and I'll come back with some final thoughts and Q&A. Kurt?
Kurt B. McMaken: Thanks, Mark. I'll begin on Slide 10 with a look at the quarter. Revenue of approximately $1.3 billion increased 4% with 5% organic growth, partially offset by currency. Adjusted EBITDA was up 3% in total and 5% constant currency to $232 million, and operating profit was up 6% or 9% on a constant currency basis. Record operating margins and EBITDA well ahead of the top end of our guidance range were driven by strong productivity. Earnings per share of $1.79 was flat to the prior year, with operating profit growth and a diluted share count reduction of 6% year-over-year, offset by increases in tax rate and interest expense year-over-year. As Mark mentioned earlier, free cash flow was strong this quarter with improvement in cash cycle on accounts payable and accounts receivable and improving capital efficiency as we shift our businesses to AMS/DRS. We delivered over $100 million of free cash flow in Q2 and remain on track to achieve our framework of between 40% and 45% conversion. On Slide 11, organic growth was $60 million, with over 80% of that growth coming from higher-margin subscription-based AMS and DRS services. The $12 million of CVM growth included growth in global services and the impact of AMS and DRS customer conversions. Currency changes amounted to $17 million or 1% in the period. FX tailwinds, primarily from the euro and British pound were more than offset by currency devaluation in Latin America, primarily from the Mexican peso and Argentine peso. On Slide 12, starting on the left. Operating profit was up $9 million to $165 million with a record margin of 12.6% on strong productivity and line of business revenue mix. Interest expense was up $4 million year-over-year to $61 million. We expect the $61 million to be a good quarterly run rate for interest expense for the balance of the year. Tax expense was $31 million in the quarter, representing an effective tax rate of 28%, in line with our expectations. This represents an increase from the 23% we saw in the prior year. As a reminder, this tax rate increase is primarily related to the lapping impact of onetime tax benefits in the prior year that are not expected to repeat in 2025. Income from continuing operations was $76 million. Walking back up to adjusted EBITDA, depreciation and amortization was $58 million. We still expect total D&A to rise modestly in 2025, primarily reflecting increased depreciation from AMS and DRS equipment. Stock comp and other was flat to the prior year, and we still expect a slight decrease to stock-based compensation over the full year to between $30 million to $35 million. In total, the record second quarter adjusted EBITDA of $232 million exceeded our original expectations for the quarter, driven by revenue mix and the efficiency gains mentioned earlier. Let's move to Slide 13 to discuss our capital allocation framework. As Mark mentioned earlier, we continue to make strategic investments in our business to drive organic growth opportunities and fund productivity initiatives across the business from labor management to route optimization. These investments are typically made through OpEx, but they will remain our first call for capital. Moving to leverage. We are targeting between 2 and 3x EBITDA or slightly above this range as of the end of Q2 as we accelerated share repurchases into the early part of the year to opportunistically take advantage of attractive pricing. We remain on target to be below the top end of the range by year-end, consistent with prior year. Our primary use of capital continues to be shareholder returns, primarily through our share repurchase program. We have retired approximately 1.5 million shares year-to-date and will continue to be opportunistic in the second half of the year. We also maintained a modest dividend that we have demonstrated we are committed to growing annually. And finally, on M&A, our posture on deals is unchanged. We have a full pipeline and continue to explore accretive opportunities that have a strong strategic fit, attractive returns and align with our broader capital allocation framework. KAL investment Mark discussed earlier expands our AMS capabilities and helps us gain better access to new customers that we can pursue organically. Investments like KAL give us quicker access to the expanded addressable markets we are now pursuing, which we believe will increase the pace of our strategy execution. We continue to allocate capital in ways that will compound cash flow in the future and create long-term shareholder value. Moving to the guidance on Slide 14. Based on the strong first half performance in AMS/DRS and global services, good visibility of AMS/DRS acceleration to the high end of our framework and the favorable first half FX trends, we are increasing our expectations for the full year for the second consecutive quarter. Factoring in strong operational performance and using today's FX rates, our full year revenue increases by about $75 million and EBITDA by about $20 million from our expectations after the first quarter. The remaining components of our framework are unchanged, with margin expansion expected between 30 and 50 basis points, free cash flow conversion between 40% and 45% and shareholder returns of over 50% of free cash flow. In the third quarter, we expect revenue of $1.33 billion at the midpoint of our range, reflecting organic growth in the mid-single digits. FX is expected to have a slight tailwind in the period, primarily in our European segment. The organic revenue guidance assumes strong continued growth in AMS/DRS towards the high end of our framework. Adjusted EBITDA is expected to be between $240 million and $260 million. Adjusted EBITDA guidance reflects the flow-through of revenue growth and continued strong productivity as well as normalizing FX in the high-margin Latin America segment. EPS is expected to be between $1.85 and $2.25. We remain confident in our ability to deliver accelerated margin expansion in the second half of 2025. This is attributed to our strong AMS/DRS growth trajectory and the productivity initiatives we are seeing across the business. Additionally, our seasonal volume and profits accelerate in the second half in many of our end markets. On average, over the last 4 years, we have generated about 55% of our full year EBITDA in the second half of the year, and this is consistent this year at the midpoint of our framework. Now I'll hand it back to Mark for closing comments before we start Q&A.
Richard Mark Eubanks: Thanks, Kurt. I'm encouraged by another strong quarter of strategic progress. We've increased our full year expectations now for the second consecutive quarter after exceeding the top end of our second quarter guidance. As we look at the back half of the year, we have good visibility into the accelerating momentum in our growth verticals of AMS and DRS as well as the productivity initiatives in our key markets. We are confident in our ability to deliver accelerating margin expansion and EBITDA growth. I'm confident we are sustainably improving operations and building a business that will deliver consistent growth, consistent margin improvement and free cash flow generation for years to come. And with that, we're happy now to take your questions. Operator, please open the line.
Operator: [Operator Instructions] The first question comes from the line of Tim Mulrooney with William Blair.
Timothy Michael Mulrooney: So a few questions here. The first is on your second quarter results. It looks like adjusted EBITDA margin in the second quarter of 17.8%, that was well above your guide for 16.9%. And I recall last quarter, you calling out a few potential swing factors like FX, Argentina, interest income, timing of restructuring, which one of those factors played out differently relative to your expectations? Or were there other factors like organic performance that you'd call out?
Richard Mark Eubanks: Yes, sure. Thanks, Tim. First of all, we had a really strong organic growth quarter. And I think the printed numbers at 4.8% actually are a bit understated. We actually had probably 2 less workdays in Latin America and Europe and at least 1 in North America and Rest of World. So that's a pretty decent adjustment, maybe 1.5 points, 2 points as well as we lapped a previously disclosed equipment -- onetime equipment sale from last quarter, again, another 0.5 point or so. So we felt like a really strong organic growth quarter came through than maybe even we were expecting almost probably on an adjusted basis, 6.5%, 7%. So we feel pretty good about that, which gives us some confidence and momentum in the back half. So obviously, the volume helps. The other is DRS/AMS mix that also continues to be a real green shoot in the business. And as we think about the back half, we still are committed to acceleration of that AMS/DRS mix as part of our business, and that's obviously helpful. And then as well, we had quite a bit of productivity coming through. We're seeing good productivity. In fact, record margins in both North America and Europe in the quarter that are part of our trend and trajectory that we talked about and expect going forward. The things that we're working on from a productivity perspective are both inside our facilities as well as outside. And we made some investments late last year in our money processing centers. We've talked about that previously, and that is driving good productivity and throughput through our facilities as well as routing initiatives that we talked about for route optimization, that's happening -- coming across, you can see and clearly in North America, but we're also seeing this in parts of Latin America as well as Europe, as we're rolling out the program. So really good benefits as we think about that forward. So I'd say in general, Tim, we probably had maybe more just sort of business organic performance improvements, less about things needing to go our way. And so restructuring we did, the stuff that we talked about delaying out of Q1 to Q2, we executed on. That's in our numbers. And in fact, I think the other thing you mentioned was FX. So we did see a little bit of a slight improvement on FX. But in fact, from a -- in total in the quarter, the benefit was about $17 million of revenue. But in fact, it was a headwind to EBITDA from our last guide. So really strong performance, really proud of our team globally to deliver.
Kurt B. McMaken: Tim, the only thing I would add to that is really more operationally oriented, is that we did -- we had a really good quarter, I'd say, price relative to cost inflation, and we covered our cost inflation with price in all of our businesses, did a solid job there.
Timothy Michael Mulrooney: Okay. That's really helpful color. It sounds like there's actually a lot more on the organic side than I appreciated and like you said, Mark, less about FX. I also didn't appreciate the workday adjustment and the equipment sale adjustment. So taking all that into account, it sounds like things are moving really well on the organic side. I did want to ask about the AMS/DRS as well because if I'm doing my math right, I think you did 20% organic in the first quarter, 16% this quarter. So that's 18% organic for the first half of the year, plus or minus, right? And you're calling -- you're guiding for, I guess, high teens for the full year because that would be the high end of your range, but you're already there. And you're telling us that you're looking for accelerating trends in the back half of the year. So can you square that circle for me? Like is that, hey, we're being a little conservative here? Or is it like, hey, these implementations to be lumpy. You don't want to get ahead of yourselves. Any help there?
Richard Mark Eubanks: Yes, I'd say both of those. So the acceleration we talked about in both -- in their [indiscernible] as well as even last quarter, we really accelerated out of Q2 because we did see -- we did have this sort of air pocket on equipment sales lapping year-on-year as well as we had some large ATM rollouts that we did in Q2 that, to your point, was a little bit lumpy in Q2, but we know those are online now, we know the equipment sale has lapped and we feel good about what we see in the back half. It's probably more in line with the upper end of our guide or closer to what we saw in Q1.
Timothy Michael Mulrooney: Got it. And then just -- if I could just squeeze one more in on BGS. I wanted to ask how that performed during the quarter, if it kind of reverted back toward that mid-single-digit growth rate that you, I think, were expecting heading into the quarter? And I'm also curious, now with more tariff noise back into the market today, if you're seeing any pickup in shipment activity once again as we're moving through the third quarter here.
Richard Mark Eubanks: Yes, sure. Good question. So obviously, we had a very strong Q1 for that business just coming out of Q4 that we discussed. Q2, as we expected, did moderate after a lot of the tariff noise to closer to that traditional more of a mid-single-digit range. Early in July, we saw -- we were seeing kind of similar mid-single digits. And so we expect that to continue for the near term. But these things -- these trends can change quickly with 1 tweet, tariff change, this could evolve. And we're fortunate that we have this position and we have this infrastructure, take advantage of any of those dislocations in the market that causes people to move precious metals or other valuables. So all in all, we still -- we're expecting a strong year, full year still and -- but expect the second half to be more in line with the mid-single-digit range.
Operator: Next question comes from the line of Tobey Sommer with Truist.
Tyler David Barishaw: This is Tyler Barishaw on for Tobey. Wondering if you could discuss any internal initiatives you're taking to push customers into AMS and DRS? Any actions pushing customers away from CVM? Or just curious if you could expand on that.
Richard Mark Eubanks: Yes, sure. Tyler, we're always trying to find ways to move people to what we think is a better value proposition, both for them and for us and enabling us to use our networks more efficiently. But in some markets, in some -- with some customers, they still highly value our traditional CVM business. And that continues to be a big source of business for us and lots of large customers. I'd say that the opportunity, half of that CVM business in our traditional CIT is with the banks where we're either servicing branches or ATMs. And that's where we feel like as the ATM managed services continues to grow, we're seeing more and more banks wanting to talk about outsourcing their networks or augmenting their networks through leveraging our services. And so this is something we're seeing everywhere. We're seeing some good growth in North America and Europe in the quarter and are seeing -- we talked about some wins last quarter in Latin America -- I mean, I'm sorry, in Asia Pacific that we'll be onboarding here in the next couple of quarters as well as some pilots that we've just initiated here in this quarter in Latin America. So that AMS is less of a push. It's more of a pull. We're pulling customers to us with more services. And I would say DRS is similar, although most of the DRS growth that we've seen in the last 2, 3 years has really been new customers that are unvended customers that don't use any sort of CVM services, although we are putting more focus on converting customers here in '25 and have seen that trend pick up as the share of our new customers. And I think that's something that, again, is a pull versus a push and really customers who appreciate that value proposition. And frankly, we're getting better at also communicating it as well as building out a sales force that is focused on that kind of solution, so not necessarily based on traditional sales model or an RFP kind of situation.
Tyler David Barishaw: Got it. Can you maybe talk about what lessons you're learning now in markets where DRS has the most traction.
Richard Mark Eubanks: Sure. I think about Latin America, particularly, that's a market that is a very cash-intensive market where there's a lot of small format stores and the cost to serve is pretty high because of the security infrastructure. And so in those markets, it's sometimes more difficult for customers to justify in a small format a traditional CIT pickup that might be 2, 3, 4, 5 days a week versus getting to a DRS solution that allows them at a lower entry point -- a lower subscription rate and allows us to use a lower cost to serve, provide a good value proposition for the both of us. So I think that is certainly happening. I think the other place we're seeing benefits are certainly in North America when you think about the large enterprise customers. They -- our customers not only value the cash security as well as the provisional credit, the transactions that feel a lot like credit and debit, but they also value this idea of having one provider provide that solution that allows them to consolidate banking relationships across thousands of footprint -- thousands of location footprints that they traditionally had been walking money to the bank with their employees. And so I think this is an area where we continue to see strong adoption. In fact, we had a record installation quarter in North America with our DRS devices, and our pipeline continues to grow.
Kurt B. McMaken: Tyler, the only thing I'd add is, I think also operationally, we're definitely continuing to get better and better in all regions from [ a quote ] to revenue kind of basis. So it's really --
Richard Mark Eubanks: [indiscernible] cycle time.
Kurt B. McMaken: [indiscernible] cycle time, yes.
Tyler David Barishaw: Got it. And then just on the North America segment at large, can you maybe talk about your expectations for the second half of the year. You've seen a nice acceleration in 1Q to 2Q, but just curious if you can talk about expectations for the back half of the year.
Richard Mark Eubanks: Yes. I think we expect it to continue on a slight upward trajectory. As you think about the back half, certainly, our pipeline would support that, particularly in AMS and DRS. As I mentioned, we brought on a few large customer networks in the convenience store area. But we also still would expect our global services business to continue to be healthy in the year given the tariff situation relative to precious metals.
Operator: [Operator Instructions] Next question comes from the line of George Tong with Goldman Sachs.
Keen Fai Tong: You talked about expectations for the DRS and AMS businesses to accelerate. Is there any way to differentiate between how much acceleration you expect between those 2 going into the second half of the year and perhaps even into 2026, if you see any differences in the growth curves or the growth trajectories between the 2.
Richard Mark Eubanks: No, not necessarily, George. It's pretty lumpy with these big customers. And I would say that's certainly the case with AMS and sometimes even with the DRS large customer rollouts can be lumpy when they come onboard or not. And we've seen that sort of push in full. But generally, these have been pretty balanced growth rates for both. The acceleration that we expect to see coming out of Q2 into the rest of the year from an organic growth perspective, again, it feels more like Q1 kind of trajectory. But that looks pretty balanced and the visibility we have, not only in the booked business that we've either installed or are installing here in Q3, but also the pipeline and sales velocity that our teams are working through. We've got a pretty good handle on that. So I would say that the back half looks similar. I think as you think into '26, growth rates, there's no reason for us to think growth rates would change relative to each other. And again, I think our framework in the midterm will continue to be this mid- to high teens.
Keen Fai Tong: Got it. That's helpful. And then in the quarter, you saw about 1% organic growth in your cash and valuables management business. Would you say that's a steady state rate of growth? Or do you see catalysts that can alter that rate of growth to the upside or downside?
Richard Mark Eubanks: Well, I think that first and foremost, the BGS business certainly can do that. With more volatility like we saw in Q1, we could see the CVM segment outperform. I think the other thing, George, is the downside or the other way would be just more conversion to AMS/DRS. And I think that -- for us, that's a good situation and always positive mix for us as we go forward. And again, I look at the growth rates in total from an organic perspective and the trajectory we have, this is all very supportive of each other. And in fact, the network that we use for CVM and the same network we use for AMS/DRS is just allowing us to add more value on top of that for customers that allows us to provide not only growth in total, but also accretive margins to the portfolio, which is a good mix benefit, obviously, for the company.
Kurt B. McMaken: And George, just -- Mark made a comment about the workdays earlier and that would also benefit the CVM segment, obviously, in the quarter. So as you look at that 1%, you get a positive to that given the workday adjustment.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Mark Eubanks for any closing remarks.
Richard Mark Eubanks: Thank you for joining us this afternoon. We appreciate your continued interest in Brink's and look forward to speaking with you all soon whether on the phone or when we're on the road. Have a great day.
Operator: Thank you. The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.